Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd. Third Quarter 2019 Financial Results Conference Call. All participants are present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded, November 20, 2019. Before I turn the call over to Mr. Eli Yaffe, Chief Executive Officer; and Alon Mualem, Chief Financial Officer, I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents the company files from time-to-time with the SEC, specifically in the company’s annual report on Form 20-F, its periodic reports on Form 6-K, and the Safe Harbor language contained in the company’s press releases. These documents contain and identify important factors that could cause the company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release the revisions to such forward-looking statements that may be made to reflect events or circumstances after the date hereof, or to reflect the occurrence of unanticipated events. I would now turn the call over to Mr. Eli Yaffe. Mr. Yaffe, please go ahead.
Eli Yaffe: Thank you. Good morning, everyone. Thank you for joining us and welcome to Eltek's 2019 third quarter earning call. With me is Alon Mualem, our Chief Financial Officer. We will begin by providing you with an overview of our business and summary of the principal factors that affected our results in the third quarter of 2019, followed by the details of our financial results. After our prepared remarks, we will be happy to answer any of your questions. By now, everyone should have access to our third quarter press release, which was released earlier today. The release will also be available on our website at www.nisteceltek.com. This is the third quarter in a row that the company present an operating profit as well as not profit with accumulate nine months EBITDA of $3 million. This result will accomplish despite other financial expenses that were incurred due to devaluation of the U.S dollar against the Israeli, new Israeli shekels during this quarter. Our revenue in the third quarter of 2019 were $9.3 million as compared to revenue of $8.5 million in the third quarter of 2018. We are glad that this quarter results continue to reflect the implementation of our previously announced turnaround plans. Even so, it is still not reflected in our revenue, the macro environment enters in the U.S product imported from China may provide positive backwind for the segment of the military products that Eltek produce. The increase in our total line reflects a continued market recognition of our high quality and reliable products.  Our customers continue to see the value proposition of our products and have a great deal of trust in our company. We are still facing challenges in our business and operations but we're all focused on expanding our business while maintaining the trends of improved operational efficiency.  I will now turn the call over to Alon Mualem, our CFO, to discuss our financials. 
Alon Mualem: Thank you, Eli. I would like to draw your attention to the financials for the third quarter of 2019. During this call, I will also be discussing EBITDA non-GAAP financial results. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for the definition and reasons for its use. As Eli mentioned, revenues for the third quarter of 2019 increased to $9.3 million, compared to revenues of $8.5 million during the third quarter of 2018. Gross profit increased from $973,000 or 11.4% of revenues in the third quarter of 2018 to $1.8 million or 18.9% of revenues in the third quarter of 2019. During the third quarter, we had an operating profit of $568,000 as compared to an operating loss of $307,000 in the third quarter of last year. Net profit was $391,000 or $0.09 per fully diluted share compared to a net loss of $463,000 or $0.23 per fully diluted share in the same quarter last year.  During the third quarter of 2019, we had a positive EBITDA of $940,000 compared to EBITDA of $109,000 in the third quarter of 2018. During this quarter, net cash provided by operating activities amounted to $1.4 million compared to $164,000 in the third quarter of 2018. During the first nine months of 2018, the company achieved a positive operating cash flow of $2.7 million as compared to cash used in operating activities of $950,000 in the same period last year.  During the second quarter, we completed the rights offering to our shareholders and raised the net amount of $3.3 million. The proceeds from the offering improved our working capital and were used in part to reduce our line of credit as well as for general corporate purposes. The remaining proceeds may be invested in plant and equipment. During the third quarter we filed a shelf registration statement to provide the company with the ability to raise additional funds.  We are now ready to take your questions.
Operator: Thank you. [Operator Instructions] The first question is from the [Nahum Moshlitz]. Please go ahead. 
Unidentified Analyst: Thank you very much for taking my questions and congratulations for the good quarter. I would like to know exactly who are your competitors and what's your claim to fame against them. Thank you.
Eli Yaffe: [Nahum] can you please repeat the last section of the question?
Unidentified Analyst: Sure, I want to know who are your competitors and if you think you have the claim to fame against them, and if you think you are better than them. So why and in what way?
Eli Yaffe: Thank you [Nahum] for the question. We are in the PCB business and we have in Israel mainly one big competitor and in United States all PCB manufactures are our competition but we are in quite a niche that we are in segment of low volume mix product which put us in a niche, as the competition is lesser than white board of PCB manufacturers. If you take this group and divide it to defense, aerospace and medical devices, we're in a sub niche of this niche.
Unidentified Analyst: And your competitor in Israel is?
Eli Yaffe: PCB Technologies.
Operator: [Operator Instructions] The next question is from Steven Gould of [Smuk] Trading. Please go ahead. 
Unidentified Analyst: Yes, good morning, congratulations on a great quarter and thank you for taking my call. I had a brief question for you, specifically related to any future potential offerings to raise capital for the company to continue operations. Can you elaborate on whether or not you see this as essentially necessary in near-term?
Alon Mualem: This is Alon, as I mentioned we filed a baby shelf prospectus during the third quarter in order to provide the company the ability to raise funds, if market condition will support such fund raising. Other than this we wouldn’t like to comment any further in this matter.
Unidentified Analyst: Okay understood. So particularly from a cash flow perspective, do you all see yourselves in what you would describe to be a financially stable condition leading into 2020 at this point?
Eli Yaffe: Eli Yaffe speaking. As we referred before our current cash flow is positive.
Operator: There are no further questions at this time. Before I ask Mr. Yaffe to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website www.nisteceltek.com. Mr. Yaffe would you like to make a concluding statement?
Eli Yaffe: Yes, before we conclude our call I would like to thanks all our employees for their efforts to make Eltek profitable again and capitalize our strengths to renew our position as a leading high-end PCB manufacturer. I would like to thanks again to our customers, partners, investors and Eltek team for their continued support. Thank you for all join us for this today call. Have a good day. 
Operator: This concludes the Eltek Ltd., third quarter 2019 financial results conference call. Thank you for your participation. You may go ahead and disconnect.